Operator: Good morning, and welcome to the Enviva Partners, LP Third Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Wush Ma, Vice President and Treasurer. Please go ahead.
Wushuang Ma: Thank you. Good morning, and welcome to the Enviva Partners, LP third quarter 2020 financial results conference call. We appreciate your interest in Enviva Partners and thank you for participating today. On this morning's call, we have John Keppler, Chairman and CEO; and Shai Even, Chief Financial Officer. Our agenda will be for John and Shai to discuss our financial results released yesterday and provide an update on our current business outlook. Then we will open up the phone lines for questions. Before we get started, a few housekeeping items. During the course of our remarks and the subsequent Q&A session, we will be making some forward-looking statements, which are subject to a variety of risks. Information concerning the risks and uncertainties that could cause our actual results to differ materially from those in our forward-looking statements can be found in our earnings release issued yesterday in the IR section of our website, as well as in our most recent 10-K and our other filings with the SEC. We assume no obligation to update any forward-looking statements to reflect new or changed events or circumstances. In addition to presenting our financial results in accordance with GAAP, we will also be discussing adjusted EBITDA and certain other non-GAAP measures pertaining to the completed fiscal periods as well as our forecasts. Information concerning the reconciliation of these non-GAAP measures to their most directly comparable GAAP measures and other relevant disclosures are included in our press release issued yesterday. I would like to now turn it over to John.
John Keppler: Thank you, Wush. Good morning, everyone, and thanks for joining us today. When we connected last quarter, we had a lot to share. At that time, we had just closed two transformative acquisitions and successfully completed the issuance of both equity and debt at attracted pricing to finance these acquisitions in a highly volatile market. Since then, I'm quite pleased to report that we have had a pretty straightforward few months as we have focused on integrating our new assets and delivering on our business plan against the similarly turbulent backdrop. I probably could have shortened my prepared remarks this morning by simply saying everything went just as expected. But at Enviva, we do not take setting in meeting expectations lightly. To ensure that the integration of the Greenwood and Waycross plants progress just as we promised, it took seamless teamwork from expanded cross-functional team at the corporate, regional, and plant levels. To be able to deliver uninterrupted operations and then the evolving COVID-19 pandemic, it required our manufacturing and health and safety teams to continue to rethink and redesign our processes and procedures, and then diligently follow them. I'm happy to report that all the hard work and extra effort, as well as the durability and resilience of our business model, once again paid off. To date, our operational and financial results remain largely unaffected by the evolving coronavirus pandemic. The Greenwood and Waycross operations are well on their way to make integration into our portfolio, delivering operating results right in line with our expectations. With the contributions from these new additions to our fleet, we reported our highest ever quarterly adjusted EBITDA and are firmly on track to deliver our full-year guidance. Based on our performance this quarter and our expected full-year results, which includes the benefit of the recent acquisitions, our Board declared a distribution of $0.775 per unit for the third quarter, which represents our 21st consecutive distribution increase and is 15.7% higher than the distribution for the same quarter of last year. In addition, we reaffirmed our guidance to distribute at least $3 per unit for the full-year 2020, which would maintain roughly 13% distribution CAGR we recorded since our IPO over five years ago. Our recent acquisitions increased our presence in the Southeast U.S. and our operating portfolio now spans in seven contiguous states. From Virginia, all the way through North Carolina, South Carolina, Georgia, Florida, Alabama, and Mississippi. With the development and construction activities underway at our sponsor, we expect to continue to expand this footprint by adding additional assets around our and our sponsors terminals in Chesapeake, Virginia; Wilmington, North Carolina; Savannah, Georgia; Panama City, Florida; Mobile, Alabama and Pascagoula, Mississippi as demand for our product continues to grow in our existing markets and rapidly emerges in new ones. Enviva is leading an industry that plays an increasingly critical role in the global fight against climate change. The climate benefits have sustainably produced wood pellets continue to garner international recognition and we are keenly focused on promoting forest growth and providing incremental transparency. On the subject of stewardship, we are excited adding Gerrity Lansing to our Board of Directors and benefiting from his deep experience and expertise in forest management and socially responsible investing as we continue to deepen our thought leadership and sustainability. I will take some time at the end of this call to provide more details on the long-term market drivers, our sustainability practices and the development activities taking place with the partnership and our sponsor. But I would like to now turn it over to Shai to discuss our financial results for the third quarter.
Shai Even: Thank you, John. For the third quarter of 2020, net revenue was $225.6 million, as compared to $157.4 million for the corresponding quarter of 2019, driven primarily by a 40% increase in metric tons sold. During the third quarter of 2020, we also recorded $9.4 million of other revenue, which included $8.2 million we were paid to modify shipments under our take-or-pay offtake contracts that otherwise would have been presented in product sales. For the third quarter of 2020, gross margin was $25.6 million, as compared to gross margins of $26.5 million for the corresponding period of 2019. Adjusted gross margin was $56.8 million for the third quarter of 2020, as compared to $41 million for the third quarter of 2019. The increase in adjusted gross margin during the third quarter of 2020 was primarily due to increases in metric tons sold and higher other revenue. Adjusted gross margin per metric ton was $50.13 for the third quarter of 2020 in line with adjusted gross margin of $50.56 for the third quarter of 2019. Net income for the third quarter of 2020 was $1.4 million, as compared to net income of $8.9 million for the third quarter of 2019. Adjusted net income was $11.2 million for the third quarter of 2020, as compared to adjusted net income of $17.4 million for the corresponding quarter of 2019. Lower net income and adjusted net income for the third quarter of 2020 were primarily due to costs associated with the recent acquisitions, including $4.9 million of acquisition and integration costs and $9.3 million of incremental, depreciation, amortization and interest expenses. For the third quarter of 2020, the partnership generated adjusted EBITDA of $54.4 million, an increase of 38% from the third quarter of 2019. The increase in adjusted EBITDA was driven primarily by higher metric tons sold in other revenue. Distributable cash flow prior to any distribution attributable to incentive distribution rights paid to our general partners was $42.2 million, which results in a third quarter of 2020 distribution coverage ratio of 1.11x. At the end of the third quarter, the partnership liquidity which includes cash on hand and availability under our $350 million revolving credit facility was $215.3 million. As you will recall when we completed our recent acquisitions, we increased our full-year 2020 guidance. On the heels of our solid third quarter financial results, we are very happy to reaffirm this updated guidance and continue to expect full-year net income to be in the range of $33.9 million to $43.9 million, adjusted EBITDA to be in the range of $185 million to $195 million and distributable cash flow to be in the range of $134 million to $144 million prior to end distributions attributable to incentive distribution rights paid to our general partner. The partnership also reaffirms our previous guidance to distribute at least $3 per common unit for full-year 2020. The guidance amounts do not include the impact of any additional acquisitions or drop-downs. Consistent with prior years, we expect the second half of 2020 to be a significant step up from the first half with the fourth quarter being stronger than the third. Our financial policies remain unchanged and we continue to target a conservative leverage ratio of 3.5x to 4x and distribution coverage ratio of 1.2x on a forward-looking annual basis, and we expect our full-year 2020 distributable cash flow to cover 2019 distributions by at least 1.2x. Now I would like to turn it back to John.
John Keppler: Thanks, Shai. Notwithstanding the COVID-19 pandemic, regulators, policymakers, utilities and power generators across the world continue to make incremental commitments to phase-out coal and limit the impact of climate change. And we believe these tailwinds will drive strong growth and long-term sustainable demand for our product. The European Union policy progression over the last 12 months, serves as a good example of a global leader that consistently advanced the fight against climate change. The EU first announced the European Green Deal in December of last year with the aim of making Europe the first climate neutral continent by 2050. Next, we followed up with a proposed European climate law in March to enshrine this net-zero target into the legislation, even while the continent was deep in the fight against the coronavirus. In September, the European Commission went one step further in proposing a 2030 greenhouse gas emissions reduction target at 55% at the top end of the previously contemplated range. Notably, just in October, the European parliament voted to further push the 2030 targets to 60%. This aggressive approach was matched just last week when Japan's new Prime Minister in his first policy speech to the parliament since taking office, pledged the country will be carbon neutral by 2050. As you know, Japan has been underway with substantial decarbonization efforts, including the feed-in-tariffs for renewables that has enabled much of more than 3 million metric tons per year of long-term demand that we and our sponsor have contracted over the last several years. But this net-zero announcement combined with the Japanese government's prior commitment to shut down or decarbonize 100 coal plants in the country, so just we will continue to see tremendous growth in this market. Phasing out coal is critical to limiting the impact of global warming. Biomass plays a fundamental role in this response to climate change and there's a requirement in every single pathway the UN IPCC has laid out in order to achieve the goal of limiting temperature increases to 1.5 degree celsius above pre-industrial levels. Germany is a good example as the major economy making an unprecedented commitment to translate the IPCC guidance directly into tangible environmental benefit. Following the early passage of the Coal Exit Law, several policy initiatives are now exploring the subsidy framework that will be necessary to support leveraging bioenergy produced from healthy, growing, sustainable forests and displacing coal by converting existing infrastructure from coal to low carbon fuels like wood pellets. As the final legislative process unfolds over the next several months, the partnership and its sponsor remain in ongoing dialogue with multiple large utilities and power and heat generators about their plans to convert existing coal-fired assets to biomass. Similarly, the UK government in its response to the annual progress report produced by the committee on climate change, recently announced its plan to publish a new comprehensive strategy to decarbonize its economy in order to achieve its net-zero target and confirmed that several linchpin decarbonization strategies such as the deployment of sustainably sourced biomass in combination with carbon capture are forthcoming. As part of our commitment to provide incremental transparency into the sustainability of our business practices, the partnership and our sponsor recently published our first corporate sustainability report. This report provides a description of Enviva's 16-year sustainability journey from the partnership's humble beginnings as a start-up in 2004 to the publicly traded company with a global footprint that is Enviva today featuring a comprehensive review of our contribution to fighting climate change, our fiber procurement approach and forestland conservation efforts, our environmental, health, and safety processes, our human capital and diversity policies, and our corporate governance practices. As one of Enviva’s founders, I'm particularly proud of this report, as it describes not only how far we've come, but how big the opportunity is ahead. Many of these opportunities involve innovation and new ideas about how to further promote forest growth and carbon sequestration and protect forest habitats in the Southeast U.S. To know one example of this, our sponsor recently formed a partnership with a widely recognized innovator and North America's leading developer of forest carbon offsets. By leveraging Finite Carbon’s online platform, Enviva is helping private landowners participate in the program to receive income in exchange for their commitment not to harvest particular tracts of their land, and therefore facilitates the conservation and protection of forest habitats that are critically important to biodiversity, wildlife and carbon storage, such as bottomland hardwood forests. Given how important forestlands are to mitigating climate change, the symbiotic relationship between the healthy demands of forest products and landowners decisions to continue to invest in forestland, translates into a powerful combination for policymakers around the world. This natural synergy is driving continued increases in the worldwide demand for our product. The partnership's current contract portfolio, which includes the 20-year 270,000 metric ton per year Ichihara contract that just went from September as a total weighted average remaining term of 12.8 years and a total product sales backlog of $14.9 billion. Assuming all volumes under the firm and contingent off-take contracts held by our sponsor and the sponsor joint venture were included, our total weighted-average remaining term and product sales backlog would increase to 13.7 years and $19.4 billion. To meet the growing contracted demand for sustainably produced biomass within the partnership, we have continued commissioning our expansion project at the Northampton plant. We also have begun commissioning new equipment related to the expansion project at our Southampton plant, and expect to complete the installation of all equipment around the end of this year. At Greenwood, procurement and detailed engineering activities are well underway and the project to expand that plants production to 600,000 metric tons remains on track for completion by year end 2021. Finally, the construction of our sponsor's fully contracted Lucedale plant and the Pascagoula terminal, remain on track for completion mid-year 2021. In addition, our sponsor expects to complete the purchase of the project site and commenced certain preconstruction activities for our next fully contracted plant later this year in Epes, Alabama. A final investment decision by our sponsor is expected around the end of the year. What’s pretty astonishing is that when complete our current operations combined with the development projects I just described, we established a footprint across the Southeast U.S. that supports more than 4,000 jobs with an annual economic impact of close to $3 billion. As I've said before, it is a privilege to be able to grow this business at a time when so much of the world continues to face challenging and uncertain circumstances. And although it might seen like a quiet quarter, it was really quite busy as the Enviva team focused on executing our business plan, integrating the Greenwood and Waycross plants that combined to increase the partnership's production capacity by more than one third and delivering exactly what we have promised. As a result, we were able to print our highest quarterly adjusted EBITDA ever, generating $54.4 million. We again increased our distribution now for the 21st consecutive time, and we reaffirmed our increased guidance for the year. And with the increasingly critical role we play in the efforts to fight climate change, we are really just getting started. As I close, I want to thank all of my colleagues at Enviva for their hard work and relentless focus on keeping our people healthy and operating our business uninterrupted. I've had the pleasure of making my way to each of our plants and ports over the past several weeks to reconnect safely and with all of the CDCdirected social and professional distancing. And while the pandemic is certainly a challenge, I can tell you that the excitement, the enthusiasm and the commitment to the job our hand has never been stronger. I'm continually humbled by the dedication of colleagues who work hard every day to make sure we can deliver on the promises we have made well into the future. We have a strong and durable business model, made stronger by the people at Enviva. Thank you. Operator, can you please open the line for questions?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Marshall Carver of Heikkinen Energy Advisors. Please go ahead.
Marshall Carver: Yes. Everything looks so straight forward I didn't really have a question. But since there was nobody in queue, I thought I'd just throw out a question on – you made those acquisitions earlier this year, do you have any thoughts on the potential for further out third-party acquisitions and any commentary on the potential M&A landscape right now?
John Keppler: Marshall, thank you. It's great to hear from you that guys are doing well. Look, absolutely interesting quiet quarter, right, pretty straight forward. We're obviously delighted with the progress that we're making on integration of the acquisitions. We are a proven acquirer. The most recent Waycross acquisition was – with the acquisition of the largest plant in the world that we didn't – then currently own, which is consistent with the track record and the approach that we've taken in M&A historically. The assets that we would look at need to be pretty strategic. They also need to be competitive with what we would otherwise be able to develop and acquire from our sponsor, which is also proven to be relatively attractive investment in acquisition multiples. So from an M&A perspective, we're pretty judicious, we're pretty conservative in our thinking around it. It's going to be something pretty important, either it's going to come with a strategic port location and new fiber basket, it's got to be well-built, it's got to be in the right fiber basket, it’s got to be in the right cost position. And there just aren't that many of those in the world, but when there are, we take a good long look at it.
Marshall Carver: Thank you. And I guess another question, in terms of lumber prices increasing in the last few months, does that have any – could you talk about any impact there? I know you're buying pellets which are at a huge discount and basically a side product of the lumber industry to a degree. This higher lumber prices mean more lumber demand and therefore more opportunity for supply, which could potentially lower the cost for you or does it tend to go up at all with lumber prices? Do you have any…
John Keppler: You really spotted the symbiotic nature of our fiber procurement with what the more traditional forest products industry undertakes. So increase demand for forest products in the high value components of that like saw timber, telephone poles and the life which you are seeing increases demand for means that there's a greater proportion of byproducts that the landowner ultimately needs to remove from that forest tracks to enable more efficient and more effective reforestation. And so we're really an important part of that and obviously with greater degrees of supply that means that over time we tend to continue to see it. And if you look historically at our financials, we've tended to realize a decline in our underlying fiber prices because of greater fiber availability.
Marshall Carver: Thank you and good to see such a straightforward quarter.
John Keppler: Thanks, Marshall.
Operator: [Operator Instructions] And our next question will come from Elvira Scotto of RBC Capital Markets. Please go ahead.
Elvira Scotto: Hi. Good morning, everyone. I know you talked about Germany, can you maybe just provide a little more color around what you're seeing and hearing in your discussions in Germany? And then just maybe around when you could see a potential contract?
John Keppler: Yes. Absolutely, Elvira, and great to hear your voice. So Germany, we began talking about Germany as the Coal Exit Law began to be developed in that country as part of its broader participation in the EU landscape and the EU climate goals, which are important to note are becoming increasingly more aggressive, right. Not only moving to net-zero, but really looking at the European climate law as is targeting 50% to 60% reductions, which are very significant step up to what their historical expectations were. So you've got a pace of change. That's accelerating across the European continent, let’s say complimented by Japan, which is also pretty excited. But in Germany, about 18 months ago, we articulate – it’s going to take a little bit of time for the regulations to mature, the policymaking get worse. And what we've seen is progressing on that base. So the guys drive roughly in 24 months, we’re 18 months in, the preliminary framework is in place. In fact, that's been resolved – I am sorry, the German policymakers put in place the binding non-regulations on framework that will enable major coal-fired generators to lower carbon fuels like [indiscernible]. Our dialogue with our customers is, I think in our prepared remarks, in fact they need to accelerate. And we're in deep dialogue with them. Exactly they're convinced. The feasibility work with Enviva across our broader portfolio is – and what we would expect is certainly over the course of the next 12 months to 18 months for us, but the ability into the specific asset, specific terms and conditions that will be supplying pellets under long-term contracts. And then of course, in unparallel, undertaken the conversion processes for this. Some customers are ahead of that curve. Some are across the broader portfolio, but we continue to see the – right at the end of the [indiscernible] clear visibility in the 5 million to 10 million ton market, obviously as the European community continues to tolerate its efforts against climate change. We think this is part of it and we'll look forward to participating in that market.
Elvira Scotto: Great. Thank you. And then, the end view as you noted has become or has accelerated the decarbonization goals. You recently made hydrogen, a pillar in its decarbonization efforts, do you see any impact if we start to see hydrogen kind of grow within that renewable pie? Do you see any impacts to biomass growth in the EU?
John Keppler: Great question. We look at hydrogen like a lot of potential emerging technologies. There's a lot of hope. There can be at times hype around that. I think hydrogen certainly has a role to play. It's a speculation of course, on both cost and time. And ultimately these things can tend to resolve for a longer period of time. But the pace of change and the urgency of change require [indiscernible] in the overall policy block is because it get realized today for costs at higher against the intermittency of solar and wind as the potential for hydrogen and the five other flavors of that may come forward – longer-term benefits, but in a much more speculative cost and time. That's why we can see makers not in Europe, but elsewhere in Pacific and Asia, so intensely focused on the integration of the biomass to displace some of the most intense carbon emissions alternatives to fossil fuels.
Elvira Scotto: Great. Thank you very much.
John Keppler: Thanks Elvira.
Operator: The next question comes from Moses Sutton of Barclays. Please go ahead.
Moses Sutton: Hi. Thanks for taking my question. Pretty clean straightforward quarter. Just one general question on my end. Any updated thoughts on ever converting to a C-Corp or sort of solving for the demand for a different company structure. Thinking through not only what's happened with some MLPs, but also yield curves other LPs like the Brookfield vehicles and how they perform since those changes? Or do the tax benefits of the MLP structure really makes such a change not worthwhile to even entertain?
John Keppler: Moses, always get a – and great question as always. The MLP structure that we've been in and the sponsor-led dropdown profile is particularly a high-growth MLP like ourselves has worked pretty well for us. If you look historically, we've been able to generate a 13% distribution CAGR since our IPO. And we've continued to grow pretty aggressively, including there's some pretty choppy periods, but this year and last year in terms of the capital markets. So for us it's a model that works well, not so much solely for the purposes of the tax structure, but really more so on the allocation of risk and responsibility and activity between the sponsor and the partnership. We have been convicted about ensuring that the partnership is fully insulated from the developments, the contracting, the construction activities of large scale infrastructure assets. That's largely been driven by the scale of the organization historically as a small company – smaller company at IPO, it may have been too big a bite for us to develop assets on our own balance sheet. And I think the time and scale begin to make sure that we can think about where that right alignment of risk and allocation is – here the foremost of that big development has been done upstairs. We've started to put our mills under the tent so to speak. We've got two great expansions underway. The Northampton and Southampton facilities were modestly expanding the production at the green – we recently acquired Greenwood asset. And we tend to think that there's a good runway ahead for incremental expansions within our current portfolio. As we think about developing larger scale assets, when we get to the right scale and size, I think that does begin to raise important questions in the future about what that right allocation of risk and responsibility is. Here the forest worked really, really well. We're certainly on the path to more than doubling the size of last year's EBITDA and obviously that then from a free cash flow profile might create some different opportunities about how we would choose to reinvest free cash flow directly into larger scale investments within the partnership. But I think we're still a bit off from that yet.
Moses Sutton: Great. Now that makes a lot of sense. That's all I have. Thanks for the update there. Congrats on the smooth operations.
John Keppler: Thank you, Moses. Thank you. Great to talk to you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Keppler for any closing remarks.
John Keppler: We wanted to thank everyone for taking the time to join us today. Obviously there's a lot going on in the world. We're quite privileged to be in the position that we're in, and we believe that we have a responsibility to keep it up. I'm looking forward to connecting with everyone again next quarter. And until then, please stay safe and healthy. We're all in this together and together we're all going to get through it. We'll chat soon. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation and you may now disconnect.